Operator: Good afternoon. Thank you for attending today's Yelp First Quarter 2022 Earnings Call. My name is Hina, and I'll be your moderator for today's call. [Operator Instructions] I would now like to pass the conference over to our host, James Miln, SVP of Finance and Investor Relations of Yelp. Please go ahead.
James Miln: Good afternoon, everyone, and thanks for joining us on Yelp's first quarter 2022 earnings conference call. Joining me today are Yelp's Chief Executive Officer, Jeremy Stoppelman; Chief Financial Officer, David Schwarzbach; and Chief Operating Officer, Jed Nachman. We published the shareholder letter on our Investor Relations website and with the SEC and hope everyone had a chance to read it. We'll provide some brief opening comments and then turn to your questions. Now I'll read our Safe Harbor statement. We'll make certain statements today that are forward-looking and involve a number of risks and uncertainties that could cause actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise or publicly release results of any revision to these forward-looking statements in light of new information or future events. In addition, we are subject to a number of risks that may significantly impact our business and financial results. Please refer to our SEC filings as well as our shareholder letter for a more detailed description of the risk factors that may affect our results. During our call today, we'll discuss adjusted EBITDA and adjusted EBITDA margin, which are non-GAAP financial measures. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with generally accepted accounting principles. In our shareholder letter released this afternoon and our filings with the SEC, each of which is posted on our website you will find additional disclosures regarding these non-GAAP financial measures as well as historical reconciliations of GAAP net income to both adjusted EBITDA and adjusted EBITDA margin. And with that, I will turn the call over to Jeremy.
Jeremy Stoppelman: Thanks, James, and welcome, everyone. Yelp had a great first quarter. We continue to see strong momentum from our product driven growth strategy, as net revenue increased quarter-over-quarter and by 19% year-over-year to a record $277 million. Advertisers across both categories and channels showed increased demand for our expanded portfolio of ad products and paying advertising locations reached the pandemic high. Advertising revenue from services businesses increased 14% year-over-year to a quarterly high of $160 million, reflecting record revenue per location. At the same time, advertising revenue from restaurants, retail and other businesses continued to recover increasing 27% year-over-year. We also made further progress on our initiatives to drive sales to our most efficient channels, driven by record acquisition and strong retention self-serve channel revenue increased by more than 30% year-over-year to reach a new high in the first quarter. At the same time, we saw robust demand for our expanded portfolio of ad products for multilocation advertisers. Multilocation channel revenue increased by more than 35% year-over-year. Together, these channels represented 46% of advertising revenue in the first quarter. Beyond these results, our team remain focused on advancing our strategic initiatives, which are designed to drive sustainable and profitable growth in the long-term through an elevated pace of product innovation. We made early progress in the first quarter as we work to advance our 2022 priorities. To grow quality leads and monetization and services, drive sales through the most efficient channels, deliver more value to advertisers and enhance the consumer experience. In summary, our first quarter results reaffirm the strength and breadth of both our platform and initiatives amid a volatile environment, providing us with continued confidence in our ability to deliver on our plan and drive profitable growth in 2022. We're excited about the opportunities ahead to connect people with great local businesses and remain committed to delivering long-term shareholder value. With that, I'd like to turn it over to David.
David Schwarzbach: Thanks, Jeremy. The fine historical seasonal trends. net revenue increased by $3 million from the fourth quarter and 19% year-over-year to $277 million, $7 million about the high end of our range. This strong growth was driven by year-over-year increases in both paying advertising locations and revenue per location. Paying advertising locations increased by 3% from the fourth quarter, and by 9% year-over-year to reach 546,000. As Jeremy mentioned, we also accelerated year-over-year advertising revenue growth across categories with services up 14% and restaurant retail and other up 27%. Ad clicks increased by 4% year-over-year, while average CPC increased by 17% over the same period. Growth in average CPC outpaced growth in ad clicks due to higher advertising demand and consumer engagement, particularly in services. We believe this was driven by a combination of macro factors including inflation. We enjoyed another quarter of record non-term contract retention rates, reflecting the value that we continue to deliver to advertisers. Overall, we see Yelp's diversified local ad platform, and dynamic auction system as enabling us to respond to shifts in consumer demand across categories as they occur. And we remain focused on delivering value to advertisers through our portfolio of initiatives. Turning to expenses. Our flexible operating posture and disciplined focus on ROI has positioned us to lean into a broad set of growth opportunities. For example, in the first quarter, we increased our marketing efforts, which contributed to record self-serve customer acquisition. We also invested in driving incremental growth through our off-platform solution, Yelp audiences, an approach that has extended our total addressable market to include non-location-based advertisers. Even as we increase these strategic investments in the first quarter, net loss improved by $5 million year-over-year to a loss of $1 million or adjusted EBITDA increased by 10% year-over-year to $48 million, $3 million above the high end of our range. Returning capital to shareholders through share repurchases remains an important element of our overall capital allocation strategy. In the first quarter, we repurchased $50 million worth of shares at an average purchase price of $34.14. Turning to our outlook. In the second quarter, we anticipate net revenue will increase from the first quarter to be in the range of $280 million to $290 million as our initiatives stack. In addition, following strength in the first quarter, we currently expect net revenue to fall towards the higher end of the range of our previously disclosed outlook range of $1.16 billion to $1.18 billion for the full year. We continue to see attractive long-term growth opportunities and plan to further invest in product development and marketing in the second quarter. As such, we expect second quarter expenses will increase modestly from the first quarter. We anticipate adjusted EBITDA will be relatively flat compared to the first quarter and in the range of $45 million to $55 million. We expect adjusted EBITDA will meaningfully increase in the second half of the year, and currently expect a range of $260 million to $280 million in adjusted EBITDA for 2022. In closing, Yelp's first quarter results demonstrate a great start to the year. While the macro environment remains complex, we are confident in our team's ability to overcome challenges by staying focused on our strategic priorities. We're excited about the opportunities ahead and plan to continue prioritizing investment in areas that we believe will drive profitable growth and shareholder value over the long-term. With that operator, please open up the line for questions.
Operator: [Operator Instructions] The first question is from the line of Colin Sebastian with Baird. Please proceed.
Colin Sebastian: Thanks. Good afternoon. Good quarter. I guess I have a couple of questions related to the dynamic between the growth in clicks and pricing. On one hand that speaks to the value you're providing advertisers. But I'm also wondering if this could turn into a headwind for growth over time. And on that note, I guess, given the Request-a-Quote, requests remain relatively flat year-over-year. I guess it's increasing that priority looking forward as far as the consumer facing side of the app is concerned. And I guess more broadly, what initiatives are underway? What are you prioritizing otherwise to improve the consumer facing side that could increase the number of users and engagement? Thanks.
Jeremy Stoppelman: Hi, Colin. This is Jeremy. I think I can take that one. Yes. So on the click side, we saw 4% year-over-year growth there. And we noted that retention looked healthy, really healthy for us. And I think we -- that's representative of the value we continue to provide for advertisers. So we do feel good about that. With clicks, there's a lot under our control. So there's obviously the consumer engagement side. And we talked about in Q4 that there's a whole set of initiatives that we've got for unfolding across the year, around driving additional consumer engagement as well as audience. There's also a lot that we can do on the ad matching side and the ad tech side. And as you may remember, for years now we've been investing in that area, and it continues to be very high ROI for us. So as the ad system gets more efficient, it can essentially create inventory out of thin air because using same traffic and doing it so more efficiently and so that can drive additional opportunity as well. So we feel pretty good about that portfolio. And then on the Request-a-Quote side, you're correct, flat year-over-year. What we are seeing is a bit of shift from the consumer away from home services, which was at elevated levels, you could say, over the past couple of years. But as a reminder, we're a very broad-based platform. So we've got all sorts of categories, restaurant, retail, and other has benefited from that some of that shift. And that said, again, we're not just going to let the market happen to us or let those shifts happen to us. We still have plenty of opportunity ahead of us. There's a really big [indiscernible] in services, in particularly home services and plenty of opportunity to continue to innovate and improve, both increasing monetization as well as continuing to drive that Request-a-Quote, volume over the long haul.
David Schwarzbach: And Colin, if I can just add on to that. On the CPC side, one of the things that we were really pleased to see in the first quarter was the strength of advertiser demand. We believe that's driven, because of our high intent traffic. And what we are able to do because of the auctions that we run, each time a consumer enters a query, and is looking at a search result, that lets us obviously match supply and demand efficiently. And just to underscore what Jeremy is saying, we think that we have a broad set of initiatives underway, that will enable us to continue to deliver value to advertisers. And on the theme of delivering value to advertisers, we think that the strong non-term contract retention rate being a record once again, in the first quarter, reflects the fact that we're delivering value.
Colin Sebastian: Great, thank you.
Operator: Thank you, Mr. Sebastian. The next question is from the line of Shweta Khajuria with Evercore ISI. Please proceed.
Shweta Khajuria: Okay. Thank you for taking my questions, I've got two. One is, you've done a great job with product changes in terms of new product launches, and driving growth through that over the past year and a half. When we think about all the products that you've launched, and perhaps those that may be in the pipeline, could you point to that, a couple of them that you are most excited about in terms of the magnitude of the impact of those products over the next 12 months, which ones do you think could have an outsized positive impact on the business over the next year? And then the second question is, if you could please comment on the overall trends that you're seeing, macro trends that you're seeing with the multi-location advertisers, any color on the ad spend sentiment across different verticals, perhaps? And how you see that trend this quarter and in the back half? Thank you.
Jeremy Stoppelman: Shweta, I'll take the first part here. Thank you, first off, for noting all of the great progress we've been making on the product and innovation side. I think if you look back over the past few years, where has there been impact and this momentum, I think is largely will continue to carry. It's really on the ad system side, we've made huge strides in improving the ad system, making it more efficient, driving value to our advertisers. And we've really improved the quality of our clicks. And it's just so high leverage when we make improvements that are because as I mentioned in the earlier question, it really is creating additional inventory every time you make the system more efficient, and everybody is getting happier. So the consumer is getting matched with a business that is more appropriate, it's more likely that match is going to result in a down funnel transaction. And so, the more opportunities we can take advantage of there, the better I think we can be over the long-term as a business. One of the other areas that we've just started to highlight, again, obviously, it's been something that we've worked on in the past, but we're finally able now that the company is just simply on a different footing, we're able to return to the consumer experience. And as we look around, one area that we see has been, particularly lagging just because frankly, we haven't had the resources to keep up is on Android. We see low hanging fruit there, an opportunity to improve the consumer experience, bring it up to parity with iOS. We made over the quarter a simple improvement bringing the map experience to and or a map experience that we didn't have on Android that we did have on iOS, and we did see significant improvements in ad clicks. I think it was up 20% on that particular platform. So that just gives -- it's meant to be kind of a very concrete easy to understand look, there are low hanging fruit here. And we're going to go after it with the same energy and rigor that we have on things like the ad tech stack that we've made huge strides on. And beyond Android, there's lots of opportunities on the consumer side, whether it's from SEO or continuing to enhance the feature set, driving more reviews, driving more photos, contributions, all of those things are on the table. And we have a wide portfolio that I'm particularly excited about looking forward to keeping you posted on. I guess the other area where we continue to see a lot of opportunity for investment is improving on self-serve in multi-location. We have deep portfolios in those areas as well as improving the flows, driving up conversion like that creates a positive feedback loop, where the better we get at driving customers through our funnel, our self-serve funnel, the more we can spend on advertising making that go even faster. And I think you're seeing some of the benefits as you look at the performance in Q1, where revenue was up 19%. On multi-location, a big driver has been on attribution that is absolutely critical to getting and unlocking larger advertising budgets from our most sophisticated customers. And we've created a Yelp store visits product. And so even though a lot of these customers rely on third-party attribution partners, which we work with, that area has been challenged by some of the privacy things going on in the space, but our Yelp store visits attribution product is first party data. It's looking at our users do the ads work, do they drive incremental store visits? And that's been a really fantastic tool to have in the tool [indiscernible] for our sales team as they go out and talk to these very sophisticated enterprise customers.
Jed Nachman: Great. And this is, Jed, I can take the second part of the question, which was around kind of macro trends within multi-location advertisers. I guess, stepping back, we've been really pleased with the performance of the multi-location channel, up 35% year-over-year. It's something we've been working on for multiple years now. We made investments in the team first, and as well as simultaneously kind of in the product portfolio. If you look at our portfolio today versus where it was a couple of years ago, we have a much broader offering that we can bring out to those multi-location customers. In terms of specific verticals that we've been successful in, it's been largely broad based, and you see it go from shopping to restaurants, retail and other and services as well. So I don't think there's something that stands out, certainly when you look at kind of the low -- the PAL number and the increase that we saw year-over-year in the PAL number, at 546,000, paying advertiser locations, multi-lo contributed that in a big way in the restaurant, retail and other categories. So, things are resonating with our customers. We're really happy with the progress of Yelp audiences, although it's still very small compared to kind of the overall revenue pie, it's resonating with different types of customers that maybe we were not able to touch in the past. And you can think of things like DTC or CPG, or alcohol [ph] brands that want to be able to reach that Yelp audience, but hadn't been able to do so with our traditional advertising product kind of on Yelp. So, bottom line is we're focused on up and down the funnel often on Yelp, and those are resonating with those large multi-location customers.
Shweta Khajuria: Okay. Thanks, Jeremy. Thank you, Jed.
Operator: Thank you, Ms. Khajuria. The next question is from the line of Dan Salmon with BMO Capital Markets. Please proceed.
Daniel Salmon: Great. Good afternoon, everybody. I have two questions. First, would love to hear an update on the traction of Yelp Connect with both users and with advertisers just broadly. And then second, I think probably more than ever we're hearing your confidence and happiness with the improvement in the ad tech and the ad system. And that continues to build and a lot of that's been organic work pretty much so far. Just curious, if you're going to lean in here more, do you feel like you have the engineering capacity as a hiring [ph] market okay, or do you start to maybe look at M&A market to do tuck-in acquisitions, AQUA hires to reel in a little bit more, and maybe lean into the success you've had on the ad platform? Thanks, guys.
Jeremy Stoppelman: Yes. So I guess I'll tackle the ads piece first. I was alluding to some of the earlier questions we've had really great impact, working on this area, great ROI. And as a result, we have an annual planning process where we're looking at the overall portfolio and trying to make tradeoffs across the business, where do we want to make bigger bets, and Yelp Ad Tech has been like a winner in that process, consistently for years, especially with 2022, Dan, one of our bigger areas of investment. Certainly those are valuable folks. They can be very hard to find, but I think we do have a great team in place we have been able to fill many of the roles. I'm sure there are probably open wrecks out there [multiple speakers] given the initiatives that we set out to do we're making great progress, and we'll keep you updated there. On Yelp Connect, don't have any stats in front of me. I do know we bundle that as part of our ad upgrade package. And so consumers do -- sorry, business owners do have the opportunity to do more social like posts with the idea being taking an image and some additional text and being able to promote that to consumers, especially ones that have shown an interest in their area, both geographically as well as relevance, because they've looked at that business in the past or looked at relevant categories. So that's all I've got.
Jed Nachman: Yes, I guess, Jeremy, I would just add on.
Jeremy Stoppelman: Sure. Yes.
Jed Nachman: Yes, I will just add on the Connect side. We've also seen some traction on the multi-lo side in bundling that with our other products. And so, as I mentioned, kind of in the previous answer, when you kind of take the totality of what we can offer, whether that's CPC ads on Yelp, Yelp audience ads off of Yelp Connect is just another way that those multi-location advertisers are used to advertising. And so, oftentimes they have the assets ready and as part of an overall package, it's certainly something that is attractive to that in multi-location side.
Daniel Salmon: Okay. That's great. That's helpful. Thanks, guys.
Operator: Thank you, Mr. Salmon. The next question is from the line of Justin Patterson with KeyBanc. Please proceed.
Justin Patterson: Great. Thank you and good afternoon. For the …
Operator: We are experiencing some technical difficulties. Please hold. Again, please remain holding. Please proceed with the presentation. The next question is from the line of Jon [indiscernible] with Jefferies. Please proceed.
Stan Velikov: Hi, everyone. This is Stan Velikov for Jon. Thank you for taking my question. Actually, I have two. First one, you mentioned earlier on the call product development and marketing being areas of investment. But the sequential margin improvement implied in your guidance looking at the midpoint is not to believe the overall what we've seen historically. Can you provide more color on the various puts and takes in that guidance? And question number two, are you seeing any signs of slowdown from the macro environment or the consumer sentiment turning negative?
David Schwarzbach: Thanks for the question. So starting with the first one on expenses. What we have done over the course of the past number of quarters is invest particularly an increase in hiring and product and engineering. We've also had an opportunity to increase investment in marketing. We've seen ROI from both of those investments. And overall the dynamic as we came into the year was reflecting that increase in headcount. We also have our Yelp Audiences product or Yelp Audiences product actually has expense related to it as we syndicate ads across the internet on behalf of advertisers. And you'll see that increase in expense showing up in our cost of sales line. Overall, as we look at expenses coming into the second quarter, what we intend to do is to continue to invest for that longer term since we do see an opportunity to earn return on it. And clearly, we were very pleased with the 19% growth that we delivered in the first quarter. And then, of course, the sequential guide on revenue as we come into the second quarter. Broadly, what we saw in the first quarter, from a macro perspective again, was a very complex backdrop, where we see consumers certainly very focused on inflation. One of the things that we think makes Yelp particularly valuable, is our core mission of enabling consumers to make better decisions by being able to learn more about businesses. And as things are more expensive, whether that's [indiscernible] out or hiring a services pro, we think that's even more relevant. So we think that trusted content is quite important for consumers. And I think, as we said earlier, we were certainly pleased by the strength of advertiser demand over the course of the first quarter. And we think that's a reflection, both of the expanded portfolio of products that we're providing, as well as obviously, the opportunity for those advertisers to reach high intent consumers who come more than 50% of the time from households with income over $100,000.
Stan Velikov: Great. Thanks very much.
Operator: Thank you. The next question is a question from the line of Justin Patterson with KeyBanc. Please proceed.
Justin Patterson: Great. Thank you and good afternoon. You've done a really great job with non-term contract retention rates. How much more room for improvement do you have around that metric? And as retention improves, how do you think about adjusting the pace of advertiser acquisition? Thank you.
Jed Nachman: Hi, Justin. This is, Jed. I can take the retention question. Yes, bottom line is we think there is a long runway for improvement on the retention side. I think -- the improvements that you've seen has stemmed from kind of delivering more value to our customers. As Jeremy mentioned before, improvements in the ad system, better matching, more efficient matching, making sure we're lining up the right opportunity with the right consumer, with the right lead, with the right business owner at the right time that they're able to service it. And there is a deep well of initiatives in the portfolio that we're looking to kind of continue down that path on. We were pleased with the continued progress on the retention side in Q1, where we did see record retention. In terms of the acquisition side, we're also very pleased with the pace there. I think we -- with half the sales people, we were able to go deliver very, very, very healthy acquisition during Q1, and that just kind of speaks to the efficiency of the engine and as we see opportunities to invest more on the marketing side, and in particular, on the B2B marketing side, we're going to take advantage of those when there's kind of compelling ROI there. But overall, we're really pleased with the progress on both acquisition as well as the retention side.
Justin Patterson: Thank you.
Operator: Thank you, Mr. Patterson. [Operator Instructions] There are no additional questions waiting at this time. That concludes today's call. Thank you for your participation. You may now disconnect your lines.